Operator: Good day and thank you for standing by. Welcome to the Bally’s Corporation Fourth quarter 2022 and Yearend Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I'd now like to turn the call over to Bobby Lavan, Chief Financial Officer for Bally’s. Please go ahead.
Robert Lavan: Thanks operator. Good afternoon and thank you for joining us on today's call. The earnings release and presentation accompanying this call are available in the Investor Relations section of our website, www.ballys.com. With me on today's call are incoming Chief Executive Officer, Robeson Reeves and George Papanier, Bally's President. Before we begin, we would like to remind everyone that comments made by management today will contain forward-looking statements. These forward-looking statements; include plans, expectations, estimates and projections that involve significant risks and uncertainties. These risks are discussed in the company's earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements. In addition, during today's call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable financial measures are included in the schedules in our earnings release. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges within certain expenses. Today's call is also being broadcast live on our Investor site, and will be available for replay shortly after the completion of this call. Let me hand the call over to Robeson.
Robeson Reeves: Thanks Bobby. I first want to thank Lee Fenton for his leadership over the past 14 years. We have a great working relationship and are great friends. He has been wonderful mentor, and I've learned so much from him. We wouldn’t be the global omni-channel leader we are today without him. I'm excited to be here and look forward to traveling to New York and other parts of the States to meet our investors in the coming months. We are three businesses that are coming together to be one. George and the team have done a great job on Casinos & Resorts. The portfolio's CapEx cycle has inflected in the cash generation at the properties while continuing to build a database for our interactive business is on track. We will execute on building the $1.7 billion Bally's Chicago, which will be game changing for us in 2026. The temporary facility is on track to be opened this year and will be the first test of the pent up demand for gaming in Chicago. International Interactive started slow in the first quarter of 2022, but after the marketing and jackpot optimizations we executed, the UK business has been strong, growing 12% in the fourth quarter well ahead of the market. Regulatory changes to the market in the UK are driving a new dynamic with the smaller operators going away and the bigger operators gaining share, a trend I really believe will continue for the foreseeable future. In Asia, we added to the team recently and we're already seeing the fruits of their labor with the business positive year-on-year in December and January. We will invest some of our higher earnings into growth opportunities in rest of Europe, rest of world and Latin America. The first push will be this year. In January, we announced a restructuring in Interactive. The primary focus of this was North America, but we also saw this as an opportunity to streamline all of Interactive. Our technology development pipeline has been completely reworked, allowing for a more competitive and effective prioritization. Fewer dependencies amongst the teams have also reduced complexity. With a thousand plus developers, me and my team, having a tight grip on priorities is how we'll move faster and deliver near and long-term results to investors. In North America our upward trajectory on iCasino continues. Our business in New Jersey has started to accelerate further with new payment methods and other options across Ontario and other markets too. Ontario trends look very, very similar. We've plan to launch in Pennsylvania in the first half of 2023 and will continue to be iCasino first. On sports, we recognize that the Bet.Works acquisition did not give us the platform required to develop a competitive product. We didn't react fast enough there, and this will not happen again. We are confident there are more economical and nimble solutions out there and have spent the past five months analyzing them deeply. Sports for us is an acquisition tool. It can drive further engagements for the Bally's brand. So when we approach the choice of technology, we'll make sure we have that mindset. Many of you will be wondering how I'll lead the business. You should expect me to follow the data. I'll be analytical in our approach to decision making to deliver customer-centric profitable solutions. I believe that the most valuable asset to deploy is focus. I will focus on opportunities with scale and go after them harder. As a company we will prioritize, we'll prioritize the opening of the Chicago temp on time and on budget, growing North America Interactive in a profitable way, our omni-channel data capabilities, sports for markets outside of North America and taking Bally's global. Now I'm going to hand over to Bobby.
Robert Lavan: Thanks, Robeson. Moving to the segment details, Casinos & Resorts reported $96 million of EBITDAR in the quarter. This includes negative $4.7 million of EBITDAR for AC. Excluding AC and Tropicana, which are lower margin properties, EBITDA margins were 36% plus for the core portfolio, which included $2 million of Workers' Comp charges in the quarter, in line with our forecast for the properties to be portfolio of high thirties. International Interactive had approximately $89 million of EBITDA at a 39% margin. The UK was plus 12% year-over-year on a constant currency basis, and International was up 6%. Incrementals were driven by revenue streams and a pullback on low return marketing with CPA costs up in the UK due to the World Cup. We will invest some of these record margins into the business, including some new markets where we are resetting our long-term expectations for EBITDA margins on International Interactive to be greater than 30%. North America Interactive had $6 million of negative EBITDA. In 2023 we will have significant cost saves from our restructuring, partially offset by higher access fees and a new streaming portfolio with a sports league with a large audience. We have updated our 2023 financial forecast to reflect current FX rates, the reset in North America Interactive and actual results through the beginning of the year. At current FX rates, we expect revenues to be $2.5 billion to $2.6 billion and adjusted EBITDA to be $660 million to $700 million, including $40 million to $50 million of North America Interactive EBITDA losses. We continue to focus on profitability and cutting costs, and we continue to streamline capital expenditures, which we expect to be about $170 million, which includes software development costs of approximately $40 million to $45 million. Common shares outstanding are 47 million, and we have incremental warrants options and other dilution of 13 million, which gets us to about 59.3 million shares outstanding. We closed the Tiverton Biloxi sale on January 3rd of this year. Pro forma for that transaction, we have more than $400 million of cash on our balance sheet and $3 billion of net debt. We have ample liquidity to fund all of our announced projects and we'll invest with care in North America Interactive. Our long-term commitment is to be sub five times debt-to-EBITDA, which we expect to hit in mid-2024. With that, I'll now open it up to Q&A. Operator?
Operator: Certainly. [Operator Instructions] And we will take our first question from Daniel Politzer with Wells Fargo. Please go ahead.
Zachary Silverberg: Hi, this is Zach Silverberg on for Dan. Just a couple from me. One, can you talk about the success you've had recently in the UK? Sort of what has made you successful? Was it the marketing, the product, et cetera? Any sort of commentary would be great.
Robeson Reeves: Thank you. Well, some operators are leaving the market, so there is consolidation happening. We're also taking share by targeting more effectively with our really high quality market tech stack. We're seeing very solid spends come from customers with great visit frequency. So we see this is very robust revenues and we're gaining traffic by people leaving the markets.
Zachary Silverberg: Thanks. I appreciate that. And just one more, do you guys have any update or expectations or commentary for a newer casino? And just remind us of the rationale to pursue this or just to throw your hat in the ring.
Robeson Reeves: Thank you. I'm going to hand over to George.
George Papanier: Thanks Robeson. Hi, Zach. Yes, so listen, it's a public process that we're participating in the RFA process. Obviously we see a huge potential in that market. The process is moving relatively quickly and we could put together a great bid especially just coming off of the Chicago bid. We're looking currently at a two-site approach, worked well for us in Chicago. So it's something that we may be duplicating in this process. But we're not going to get into any specific strategy at this point in time, but obviously we see the potential of the market.
Zachary Silverberg: Thank you.
Operator: We'll take our next question from Jeff Stantial with Stifel. Please go ahead.
Jeffrey Stantial: Hey, good update everyone. Let me just start off by saying Robeson, congratulations on the new role. I'm really looking forward to working together more closely here and Lee best of luck on your next endeavor. Starting off here, one for you Robeson, maybe on the International Interactive business, Japan looks to be hitting a bit of an inflection point after a couple difficult quarters. Could you just sort of update us on some of the headwinds you've been experiencing in that market, whether it's FX, tough reopening comps, general consumer malaise, competition what have you, and maybe provide some context for how you factor these into your 2023 guidance?
Robeson Reeves: Yes, so in Japan, we saw a degree of sentiment slowed new traffic to the market. We see this coming back to us now. We have maintained share and actually increased our share in the market. I feel very positive that we've got a good control of our margins there. They have improved somewhat, and I don't see that changing. Yes, I have high hopes for Japan. I think it's a fantastic market with huge potential.
Jeffrey Stantial: Okay, great. That's, that's helpful, thank you. And then for my follow up, switching to the brick-and-mortar side of things, Slide 9 of the presentation, you lay out some year-on-year growth rates in 2022 for daily, Theo, by age cohort. Two questions here. First, I just want to be clear, is this a same-store calculation or are there mix issues to consider? And then second, the age trends seem to be perhaps a bit counterintuitive given what was perceived to be some pull forward demand or maybe rather wallet share tailwinds is the better term for the younger demographic during that initial reopening phase. So George, could you maybe just talk a bit more to what you see driving these differences in growth by age cohort and maybe just anecdotally what you've observed more in the late 2022 into 2021 type timeframe?
George Papanier: Sure. So first of all, we've seen growth in unique customers. We've seen growth in the higher demographic customer, which accounts for the size or the increase in the wallet size. So we feel good about that. As far as what you're referring to, the unique thing that's happened is, since COVID we've seen the 65 plus customer not responding as quickly as pre-COVID 2019 and we've, at the same time, we've focused on a little bit more strategy geared towards the table game customer, so that tends to skew our demographic younger. And a lot of our revenue growth has been in markets where we've taken opportunities to kind of reenter the table games market and that was primarily as a result of a lot of the acquisitions that we've seen recently that we put into our portfolio really as a strategy decided to start to get out the table games. We, you know our philosophy's a little bit different. We focus heavily on the table games market and we've seen a lot of success, which accounts for a lot of our growth in our newer, the newer assets that we've acquired and also we are focused a little bit more on the Asian demographic.
Jeffrey Stantial: Great, that's very helpful. Thank you both. I'll pass it on.
Operator: And we'll take our next question from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Oh, great. Thank you and congratulations, Robeson. You know, just to start, I'm curious what you see as some of the major differences and similarities in your approach versus Lees?
Robeson Reeves: Great question. I feel that this is the time to really drive the data further, so I'll play to my strengths. My strengths, as I've said, are in data. They're in being highly analytical and making sure that we're leveraging all of our technology across our assets and really just when we make a change, hitting it hard. So we'll make very, very smart but aggressive bets and push exceptionally hard there. That will be my focus. I wanna speak with our revenues and our numbers, and then we can drive the business forward into the long-term.
Barry Jonas: Great, great. And then I just wanted to follow up on North America Interactive. I believe the deck shows you potentially hitting profitability by 2024. It looks like something around $25 million-ish or so. Just curious if you can kind of share any assumptions for how you get there? Thanks.
Robeson Reeves: So as we've described, we've got some real bright spots in iCasino. So Bally's iCasino in New Jersey, perfect example for us launched just over 12 months ago. It is now at $4 million of GGR per month. It continues to grow and it will continue to grow beyond that. We are live in Ontario. We're seeing very similar trends there, and we'll be live in Pennsylvania in the half. So play to our strengths in iCasino, but we're in it for the absolute long haul, but we're not going make the same mistakes we made previously. So we are looking at options to do it in the most profitable way. So we are considering lease options because we don't think you need to own now and what's great about that is that all the costs are directly correlated with revenues. So we're going to take a very smart approach and we're going to play to our strengths and we know that we are fantastic in iCasino. Everything you can see in our business shows that.
Barry Jonas: Perfect. Thank you so much and congratulations.
Robeson Reeves: Thank you.
Operator: And we'll take our next question from Brandt Montour with Barclays. Please go ahead.
Brandt Montour: Hey, good evening everybody. Thanks for taking the questions. I echo everybody's sentiments about congratulations all around. I was maybe hoping to start with iGaming and I was looking at a slide in your deck, which shows this really great growth in deposits and we're not, you know, you're not necessarily seeing like-for-like growth in play. And so just curious, what you see as a usual lag if that's a typical dynamic in the market in other markets that you've been in a long -- longer, is there a missing piece that you just need to just sort of convert that a little faster or yes, help us understand that cadence?
Robeson Reeves: Yes, there is a general lag to where deposits convert directly into your revenues. You have to firstly get people to build trust in your proposition. So people bring money, they withdraw money. Once they realize that you're as trustworthy as a bank, they will keep their money there and they will spend all the money with you. So what you'll see with us is that our hold percentage will grow over time. I truly believe that we will continue that trend, but we have had some big winners at big winners in Jan. We will see these trends change and smooth over time.
Brandt Montour: Okay, thanks for that. And maybe just a near-term question on the retail side of things. What you can tell us you're seeing in traffic in the casinos in terms of different behavior across the database at the high end of the database, low end of the database rated versus unrated any interesting changes you might be seeing would be helpful? Thank you.
Robeson Reeves: Sure. So the, what we're seeing in the database, other than kind of a little bit of a shift in the age demographics is getting a little bit younger primarily for our markets. We're starting to see, we're starting to see lower, kind of a little bit lower end transient play. So that speaks towards the rate versus non-rated type play. But, part of our focus is on noncash segments of our business. So I think that's starting to skew our database a little bit more towards a higher frequency of non-rated play that comes to our properties as primarily, they come for our hotels, F&B and other non-gaming activities. So we're starting to kind of see that start to proliferate through our portfolio. I think a big part of the reset from COVID deals with the fact that we pulled out a lot of the more of the promotional programming. I consider buffets to be part of that promotional programming, and certain other entertainment. So you're starting to see a little bit of a shift away from that lower demographic. And we're more focused on providing the amenities that the higher end customers want, and that's starting to not only skew visitations to the upside, but also the size of the wallet.
Brandt Montour: Okay, thanks for all the color.
Operator: We’ll take our next question from David Katz with Jefferies. Please go ahead.
David Katz: Hi, good afternoon everyone. Congrats, good evening and all that. I wanted to ask about the slides that you have in your deck on the Trop in Las Vegas and I would love some more interesting color. It's a topic that's been discussed on and off for a number of years and just what you might be envisioning in terms of scale of dollars or partnerships or any further thoughts would be interesting, please.
Robeson Reeves: Yes, for George.
George Papanier: Hey, David. Yes. So listen, first we've used Las Vegas as a necessity since we were not, we want to be a national company. We are a national company, and we added the Bally's brand to help us provide that to the customer. We bought what we would define as a long-term option certainly at a very good price. We could flip it to a really good return if we wanted to. We could run it long-term and it pays for itself. We're a very disciplined company, I think you've heard that in other earnings calls previously. So well, for one thing for sure is, we're not interested in duplicating other people's mistakes, and we have a long-term opportunity view on this investment, and we're going to be patient about looking for the right project with the appropriate return for that market. You may have heard in the press that we've been having discussions with the [indiscernible]. We've been having discussions with other with focus on other sites as well, so there could be some potential there. But again, anything we do is going to be something that we have the appropriate return on.
David Katz: Okay, thank you very much.
Operator: We'll take our next question from Ricardo Chinchilla with Deutsche Bank. Please go ahead.
Ricardo Chinchilla: Hey guys. Congratulations and thank you so much for taking the questions. My first question is a housekeeping question. Could you please provide us with the EBITDA and leverage you report to Rhode Island? And my second question is regarding the proceeds from the sale leaseback transaction. In the press release, you mentioned that the company expects to use a significant portion for debt repayment. I see that you have around $400 million of cash pro forma on the balance sheet, as you disclosed on the slides. Could you please provide us some color if you are doing any further pay down on the term loan or what are your plans for some of that cash?
Robert Lavan: We're not going to comment on our capital markets activities. We're always looking at what's the best return for the company. And the leverage from a Rhode Island perspective is 5.3 times or the EBITDA was $670 million.
Ricardo Chinchilla: Perfect. Thank you.
Operator: We'll take our next question from Lance Vitanza with Cowen. Please go ahead.
Unidentified Analyst: Hi, this is Jonathan on for Lance. My first question is, can you share any insight into the consumer strength in January and February?
Robeson Reeves: Yes, sure. So in Interactive, across the board, we're seeing really solid spend. We're not seeing any strain there at all. Our projections have been pretty prudent here. So if the current trends continue, I expect to see upsides to our revenue performance. We're not seeing anything yet, and there's no signs of it. And George, do you want to touch on anything in retail?
George Papanier: Sure. Well, I could add that business is strong and that our issue is that it's still a tight labor market, and it's hard to fill jobs to support demand.
Unidentified Analyst: Got it. So with that in mind, can we expect that you might see some increase in wages for the remainder of the year?
George Papanier: Yes, there's certainly going to be continued upward pressure on that. But the jobs that we're hiring are variable jobs, so it gives us the opportunity to control that based on demand.
Unidentified Analyst: Got it. And then can we maybe dig a little bit deeper into what's going on in Asia? I know that from the preliminary results, it seems that there's going to be some growth there. So could you maybe share some -- give us some update on the region?
Robeson Reeves: Yes, performance in Asia is solid. We continue to grow the player base. We are seeing really, really positive trends. Like the ARPUs are strong, the visits are very high. There is nothing which makes me concerned about our growth trajectory in Asia and I can see our margins improving there, as well as the revenues continuing to improve.
Unidentified Analyst: Okay. And the last one from me. So there's a slide in the presentation where there's -- it lists out the remaining properties. And just wondering, is there still appetite to have more sales-leaseback? Could this maybe be a potential use of financing, should Bally's be awarded a license in New York?
Robeson Reeves: Yes. I mean, we will always view our land bank as a tool to continue to grow EBITDA for the business. It just has to be the right deal.
Unidentified Analyst: Okay. So it's not that you guys are complacent right now. It's on the table, but no immediate plans for it?
Robeson Reeves: Yes. I mean, we're comfortable with Chicago funding at this point. So we wouldn't go and tap a way and make unless it's for another project or M&A opportunity.
Unidentified Analyst: Understood, thank you.
Operator: [Operator Instructions] We'll go next to Chad Beynon with Macquarie. Please go ahead.
Unidentified Analyst: Hey, this is Aaron on for Chad. Thanks for taking my questions. Thanks for all the color on your cohorts and the demographics. I'm curious within your guidance can you help us think about what type of a consumer you're expecting in the back half of the year?
Robeson Reeves: If we hold trends of where we are today with the consumer, we would be above our guidance. So we are expecting some weakness, and we've been preparing for that. So we're feeling good right now. We are expecting a pullback starting in the second quarter.
Unidentified Analyst: Got it. Thank you. And as a followup, I want to touch quickly on the Temporary. Just given what's going on with macro, has there been any change in terms of your outlook there? Thank you.
Robeson Reeves: Well, our focus is certainly on the opening of the Temporary. We're – there really has not been any noticeable or mentionable slide in schedule. So we're looking to open summer of 2023. And the good part about the process is that the city has accelerated all the approvals, and there's no more approvals required.
Unidentified Analyst: Got it. Thank you.
Operator: We will go next to Jordan Bender with JMP Securities. Please go ahead.
Jordan Bender: Great, thanks. As you look to grow the Games business on both the iGaming and sports betting side of the business, can you maybe talk about the opportunities to expand outside your current geographies? There's an emerging opportunity in South America, just seeing if you have any interest there?
Robeson Reeves: Yes. Thank you, Jordan. We absolutely are looking at expansion into South America. I find the Brazilian market one of interest. I would like, and we will very much so, push the Bally's brand as hard as possible there. We think that it will get cut through and be very effective in the Brazil market. I think it has huge potential and will be a strong pillar for us.
Jordan Bender: Great, thanks. And then for my followup, going to Vegas are you seeing any uplift between the regional database and the Las Vegas database and being able to cross-sell people in and out of Vegas? Thanks.
George Papanier: Well, we're -- we just effectively acquired the asset, but yes, there is definitely cross-marketing opportunities. Certainly as the customers in our regional markets are very interested in any Las Vegas visitation, but we've also had Lake Tahoe in our portfolio, and as well as Atlantic City, we consider cross-marketing opportunity to some extent, Biloxi. And yes, we do get -- we get some nice benefit in cross-marketing those properties.
Jordan Bender: Great. Thanks George and congrats Robeson.
Operator: And there are no further questions at this time. I'll turn the call back over to the speakers for closing remarks.
Robeson Reeves: Well, thank you all for hearing from us. You'll hear from us again very soon and good luck.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.